Operator: Hello everyone. Welcome to Recruit Holdings’ earnings call for the third quarter FY 2023. On this call, FY 2023 means fiscal year ending March 31, 2024. All the growth comparisons are year over year, unless otherwise stated. 
Junichi Arai: I am Junichi Arai, Senior Vice President, Corporate Strategy and Investor Relations of Recruit Holdings. 
 First of all, I would like to talk a little about Indeed PLUS, which has already been covered by several analysts in their reports and very important for our business strategy. The company has been contributing to the establishment and expansion of the HR Matching market in Japan over the last 60 years since Recruit started the job advertising business for new graduate students. 
 Japan is the second largest HR Matching market in the world after the U.S. It has become essential for employers to efficiently hire the best matched talent and simplify complicated recruitment process. We remain committed to evolving our HR Matching services to meet the changing needs of job seekers and employers, aiming to swiftly implement and promote our most important strategy, Simplify Hiring throughout Japan. To accomplish this, HR Solutions in Matching & Solutions and HR Technology launched a cross-business project in 2021, leading to the nationwide launch of a new service called Indeed PLUS on January 30. 
 Indeed PLUS, in a word, is a job distribution platform that automatically distributes job postings to the most appropriate job boards linked to it, based on their job descriptions and other factors. We expect to quickly transform the HR Solutions business in Matching & Solutions into an HR Technology business by shifting from the conventional PPP or Pay to Post (sic) [ Pay Per Post ] model to a PPC, or Pay Per Click model. At the same time, we expect revenue in the HR Technology SBU to increase further in Japan, one of the most important markets after the US.
 The job boards such as TOWNWORK and Rikunabi NEXT will continue to exist as job boards linked to Indeed PLUS, and HR Solutions will become a partner with Indeed to support the sales and marketing activities of Indeed PLUS. For your information, in the 12 months ending December 31, 2023, HR Solutions revenue for the full-time and part-time job advertising business was approximately JPY 115 billion. Of the HR Technology Non-US revenue in the past 12 months, Indeed's revenue in Japan was approximately JPY 68 billion. The impact of Indeed PLUS on consolidated business performance in Q4 and the impact of changes in the recording of revenue between HR Solutions and HR Technology is expected to be minor.
 Now, I would like to discuss the consolidated results of operations for Q3. Consolidated revenue in Q3 decreased 1.5% to JPY 866.7 billion. Excluding the positive impact of foreign exchange, revenue decreased 4.5%. Consolidated revenue was slightly above the upper end of the outlook range of JPY 840 billion to JPY 860 billion, which we provided at the earnings announcement in November. Consolidated adjusted EBITDA increased 14.4% to JPY 158.2 billion, which was above the outlook range of JPY 130 billion to JPY 145 billion. Adjusted EBITDA margin increased 2.5 percentage points to 18.3% due to higher adjusted EBITDA margins in HR Technology and Matching & Solutions. 
 Operating income increased 12.5% to JPY 108.9 billion yen. Profit attributable to owners of the parent increased 36.6% to JPY 106.3 billion due to the impact of an internal legal entity restructuring in HR Technology, which decreased the consolidated income tax rate as we announced in November. This decrease in the consolidated income tax rate is a one-time impact only for FY 2023. Basic EPS was JPY 68.03, an increase of 40% and adjusted EPS, after excluding one-time gains and losses, was JPY 68.03.
 The number of shares held as treasury stock as of December 31, 2023 was 140.52 million, which includes 29.4 million shares acquired through the self-tender offers announced last May and October, and 3.52 million shares acquired through December 31 under the share repurchase program executed since December 14. The number of shares held as treasury stock includes 58.55 million shares held in the trust account of the Board Incentive Plan Trust and the Employee Stock Ownership Plan Trust. Excluding those shares, the number of shares held as treasury stock was 81.97 million shares or 4.83% of the total number of outstanding shares. 
 The number of shares acquired through the ongoing share repurchase program through January 31 was 8.9 million shares. We plan to use treasury stock for share-based compensation plans, delivery of shares upon stock option execution or for strategic M&A. After taking into account the number of shares to be used for these purposes in the next fiscal year, we will consider the cancellation of some treasury stock. 
 Today, we disclosed our guidance for FY 2023 full year and the outlook for Q4 FY 2023, assuming there will not be a sudden deterioration in the economic environment. Q4, we expect consolidated revenue to be approximately JPY 830 billion, approximately flat compared to the previous year. We expect revenue to increase in Matching & Solutions and Staffing, while revenue in HR Technology is expected to decrease, but is expected to be approximately flat quarter-over-quarter. 
 Consolidated adjusted EBITDA is expected to decrease 9.3% to approximately JPY 99 billion, with consolidated adjusted EBITDA margin expected to be approximately 11.9%. This is due to anticipated declines in adjusted EBITDA margins in HR Technology and Staffing, which are expected to outweigh the adjusted EBITDA margin increase in Matching & Solutions. HR Technology margins are expected to be impacted by seasonal increases in personnel costs and advertising expenses as well as expenses related to Indeed PLUS, while Staffing margins are expected to be impacted by strategically allocated advertising expenses in Japan. 
 When we announced our Q2 results in November, we have said that although revenue for FY 2023 is expected to decline based on the first half performance and assuming the current business environment does not deteriorate significantly, adjusted EBITDA for the full year will either decrease slightly or remain at the same level compared to the last year. 
 We now expect consolidated revenue to be approximately flat quarter-over-quarter at approximately JPY 3.4 trillion, down slightly less than 1% year-over-year. Consolidated adjusted EBITDA is now expected to increase 7.3% to approximately JPY 585 billion, a record high. Adjusted EBITDA margin is expected to increase approximately 1.3 percentage points to 17.2% due to a significant increase in adjusted EBITDA margin in Matching & Solutions and a margin increase in HR Technology resulting from cost control throughout the fiscal year. 
 The company expects operating income to increase 18.2% to approximately JPY 407 billion, including onetime losses that are expected to be recorded in Q4. Profit attributable to owners of the parent is expected to increase significantly, 31.2% to approximately JPY 354 billion, a record high, including the impact of a onetime decrease in the income tax rate in FY 2023 from an internal legal entity restructuring in HR Technology. Basic EPS and adjusted EPS are expected to increase approximately 34.1% and 16.9%, respectively. 
 Now I will explain the Q3 results and the Q4 outlook for each SBU. First, I will talk about HR Technology. U.S. dollar-based revenue was $1.64 billion, a decrease of 17.2% year-over-year, which was slightly better than the November outlook for an 18% decrease. Revenue decreased 7.6% quarter-over-quarter. On a U.S. dollar basis, revenue in the U.S. decreased 8.3% quarter-over-quarter, while revenue outside of the U.S. decreased 6% quarter-over-quarter. On a year-over-year basis, revenue in the U.S. decreased 21.3% and decreased 6.3% outside of the U.S. On a Japanese yen basis, revenue decreased 5.5% quarter-over-quarter and 13.4% year-over-year. 
 Globally, total job openings remain above the pre-pandemic level of February 1, 2020. However, the supply and demand mismatch between job seekers and employers continue to ease. This was also reflected on Indeed and Glassdoor in Q3. In the U.S., total job postings, which include both free and paid job ads, continued to decrease by approximately 13% year-over-year. At the same time, job seeker engagement as measured by traffic and applies on our hiring platforms continue to increase. Continued declines in both total and paid job ads in the U.S., partially offset by year-over-year increases in revenue per paid job listing. Similar trends were observed in markets outside the U.S. 
 The time both total and paid job ads were largely driven by the same factors that we detailed in November, an easing of the labor market imbalance and further improvements and updates to Indeed's pricing model, including the implementation of pay per started application and minimum budgets. These enhancements are designed to deliver a better job search and hiring experience for job seekers and employers, the core of our Simplify Hiring strategy. 
 Likewise, at the end of Q3, in response to customer feedback and engagement with the product, Indeed decided to stop offering paper application pricing or PPA in its current form in all markets. Over time, how employers utilized and valued the ability to select and pay for qualified applicants diverge from our original expectations and goals. This decision did not have a negative impact on our Q3 HR Technology revenue, and we do not expect it will have a negative impact in Q4. Indeed will continue to explore various tests to innovate the HR Matching industry and deliver value to job seekers and employers. 
 Adjusted EBITDA was JPY 80.7 billion, and adjusted EBITDA margin was 33.2%, which is above the outlook announced in November as a result of slightly better-than-expected Q3 revenue and cost savings and timing of advertising expenses. Adjusted EBITDA margin increased 5.1 percentage points year-over-year, primarily due to lower personnel costs and advertising expenses. 
 Regarding our Q4 and FY 2023 outlook. We expect revenue in Q4 to be approximately flat quarter-over-quarter with a potential incremental benefit from Indeed PLUS. Revenue on a U.S. dollar basis in January decreased approximately 14%. Adjusted EBITDA margin for Q4 is expected to be approximately 27% as we expect operating expenses to increase quarter-over-quarter due primarily to seasonal increases in personnel costs and advertising expenses and incremental costs related to Indeed PLUS. 
 Based on our Q4 outlook for HR Technology, for FY 2023, we expect revenue on a U.S. dollar basis will decline approximately 15.5%. Adjusted EBITDA margin for FY 2023 is expected to be approximately 34% as we carefully controlled cost throughout the fiscal year. We announced in May that the total amount of share-based payment expense in FY 2023 is expected to be slightly above USD 700 million. However, we revised our expectations to be approximately USD 550 million, mainly due to a change in the timing of share-based compensation grants to existing employees due to changes in the fiscal year of Indeed. 
 Going forward, we will promote efficient business operations by responding to changes in the business environment and implementing appropriate cost control measures as needed, while balancing continued strategic investments for long-term growth. As we mentioned previously, in May, we do not prioritize maintaining a specific adjusted EBITDA margin level. 
 Next I will talk about the results of Matching & Solutions. Q3, in HR Solutions, the outlook provided in November was a revenue increase of approximately 2%. However, while revenue in the placement service increase, revenue in the job advertising service decreased. As a result, revenue in HR Solutions decreased 0.8% to JPY 73.1 billion. Adjusted EBITDA margin for HR Solutions was approximately 18%. Revenue in Marketing Solutions was JPY 123.6 billion, an increase of 7.1%, exceeding our outlook. Revenue increased as the business environment in Japan remained strong compared to Q2. 
 Revenue in Housing & Real Estate increased due to increased advertising demand from business clients. Revenue in Beauty increased due to continued growth in new business clients, and revenue in Travel increased mainly due to the impact of higher room rates, driven by stronger demand from overseas travelers. Adjusted EBITDA margin for Marketing Solutions was approximately 34% due to appropriate cost controls, mainly related to advertising expenses. 
 The SaaS business, represented by Air BusinessTools is included in Marketing Solutions. During Q3, the number of SaaS accounts rose 19.7% to 3.6 million, driven by growth in AirPAY and AirSHIFT accounts. Overall revenue in Matching & Solutions was JPY 199.5 billion, an increase of 3.9%. Adjusted EBITDA increased 47.1% to JPY 46.4 billion, and adjusted EBITDA margin was 23.3%, an increase of 6.8 percentage points. 
 Regarding the Q4 outlook for Matching & Solutions, based on the assumption that Japan's economic environment will not change significantly, revenue in HR Solutions for Q4 is expected to decrease approximately 4.5% year-over-year due to the continued downward revenue trend in the job advertising service and the impact from the transition of revenue to HR Technology due to Indeed PLUS. 
 Revenue in Marketing Solutions for Q4 is expected to increase approximately 7% year-over-year. Adjusted EBITDA margin is expected to be approximately 12.5% as we expect to strategically invest in advertising expenses, especially in Marketing Solutions in Q4. These investments are timed in anticipation of active consumer spending in April, which is the start of the business year and a new school year in Japan in order to meet the demand of both individual users and business clients. 
 Regarding the FY 2023 outlook. In HR Solutions, revenue in the first half increased 8.4%. However, in the second half, we expect revenue in the job advertising service will decrease in addition to the revenue impact from the transition to Indeed PLUS, resulting in a full year increase of approximately 2.5%. On the other hand, in Marketing Solutions, revenue is expected to increase approximately 9%, with stable quarterly performance throughout the year. The outlook for adjusted EBITDA margin of approximately 20% in Matching & Solutions for FY 2023 remains unchanged. 
 Next, I will talk about the results in Staffing. Revenue in Q3 was JPY 433.6 billion, an increase of 4.3% or an increase of 0.6% on a constant currency basis. Revenue in Japan was JPY 193.4 billion, an increase of 10.9%, driven by an increase in the number of temporary staff on assignment as a result of continued growth in demand for staffing services. Revenue in Europe, U.S. and Australia was JPY 240.2 billion, a decrease of 0.4% or a decrease of 6.9% on a constant currency basis as demand for temporary staffing services slowed continuously against the backdrop of an uncertain economic outlook. Adjusted EBITDA for the segment was JPY 32.5 billion, an increase of 9.2% and adjusted EBITDA margin was 7.5%. 
 Regarding the Q4 outlook for Staffing, quarter-over-quarter, revenue for Staffing is expected to decrease approximately 9%. Year-over-year, revenue in Japan is expected to increase approximately 5%. The revenue in Europe, U.S. and Australia is expected to increase approximately 1%. Adjusted EBITDA margin is expected to be approximately 3% as we expect to strategically invest in advertising expenses in Japan. 
 For FY 2023, revenue is expected to increase approximately 3% year-over-year. Revenue in Japan is expected to increase approximately 10%, while revenue in Europe, U.S. and Australia is expected to decrease approximately 2%. Adjusted EBITDA margin is expected to be approximately 6%. 
 Please refer to the IR website for more details. 
 This concludes my presentation. Thank you.